Operator: Welcome to the Broadcom fourth quarter and year-end 2008 Earnings Call. (Operator Instructions). Your speakers for today are Scott McGregor, Broadcom's President and Chief Executive Officer; Eric Brandt, Broadcom's Chief Financial Officer; and Peter Andrew, Vice President of Investor Relations. I will now turn the call over to Mr. Peter Andrew. Mr. Andrew, you may begin.
Peter Andrew: Thank you very much, Martin. Before I turn the call over to Scott, I have got to make one very quick announcement. During this call we will discuss some factors that are likely to influence our business going forward. These forward-looking statements include guidance we will provide on future revenue, gross margin and operating expense targets for the first quarter of 2009, and any other future period, as well as statements about the prospects for our various businesses, potential market share and the development status and planned availability of new products. You should note, that the guidance we provide today is based upon forecast that require us to make certain estimates, judgments and assumptions using the information that is available to us at this time. It should be clearly understood that our actual performance and financial results may differ substantially from our forecast and the other forward-looking statements we make today. Specific factors that may affect our business and future results, including among other things, general economic conditions, are discussed in the risk factors section of our 2007 Annual Report on Form 10-K and subsequent SEC filings. A partial list of these important risk factors are set forth at the end of today's earnings press release. As always, we undertake no obligation to revise or update publicly, any forward looking-statement except as required by law. Please refer to the Investors section of our website at www.broadcom.com for additional historical, financial and for fiscal information, including the information required by SEC Reg. G. In addition, we've placed a slide deck, which is available now in the Investor Relations section of our website, that is on the right-hand side of the page under Q4 2008 earnings information. In this deck we have incorporated additional tables and information regarding our historical performance and our future guidance…. With that, let me now turn the call over to Scott.
Scott McGregor: Good afternoon and thanks for joining us today. This earnings season everyone is going to focus on the economic downturn when discussing their results and guidance. And we will do some of that too, but Broadcom had a great 2008 overall, and our strategy for 2009 is to position the company to come out of the downturn in a stronger position than when we entered. Today we will talk about our strong 2008 financial results and how we were able to gain significant share across most of our markets, how we're positioned for 2009 and what cost savings measures we are taking, so we will continue to generate strong cash flow from operations in the current economic environment. Our primary financial goal in 2008 was to profitably grow our business. We certainly achieved that goal as Broadcom reached a new record level of net revenue at over $4.6 billion, an increase of $882 million, while more than doubling our earnings per share, excluding acquisition related and impairment charges. In addition, we generated $920 million in cash flow from operations. In 2008, Broadcom clearly gained market share. According to WSTS for the first 11 months of 2008 revenue growth for the semiconductor industry was essentially flat year-over-year and most analysts are estimating that the full-year will come in essentially flat or slightly down versus 2007. Broadcom on the other hand grew revenue by 23% among the highest growth rates of leading semiconductor companies, and was also one of the few semiconductor companies to grow Q4 2008 revenue over Q4 2007 levels. From a profit perspective our earnings per share growth, excluding one-time acquisition related and impairment charges, also ranked among the highest of companies in the semiconductor industry. So I will give solid marks in 2008 for achieving our profitable growth objective. From an engineering and product perspective, we made two moves in 2008 that I believe position us very well competitively for future additional market share gains. First, we made the transition over to 65-nanometer much faster than many of our peers in the communication space. This was a large undertaking from both an engineering and financial resource perspective, which is now largely behind us. We have already overcome many of the normal engineering hurdles that accompany any process migration. Many of our peers have yet to start their migration to 65-nanometer and have not yet had to bear the financial cost of making this transition. In this weak economic environment, where spending is tight and engineering resources are limited, our peers will have to make some tough choices. Second, we have become the leader in bringing combo products to market. I'll talk more about of our milestones in the combo space, but interest in combo products, which combine multiple functions, has been well above our expectations and we're shipping a wide variety of products today. We feel that we have a significant lead on the competition and look to increase that lead as we expand our combo products in the future. While the economy clearly did impact our results in the fourth quarter, the full-year 2008, as a whole, was a very good year. As we look into 2009, the current state of the economy is providing a number of challenges. The main one is determining the true level of demand in our end-markets and the timing of inventory adjustments to align with that new level of demand. Therefore, in this uncertain environment, as we mentioned at our Analyst Day, we are shifting our focus from profitable growth to protecting our cash flow and insuring that we are investing our research and development dollars in the right areas to drive market share gains. For a number of quarters now we have been focused on tighter expense management. And you saw the results of our efforts beginning in the third quarter 2008 results. In the fourth quarter, we accelerated those efforts. Our total spending, exclusive of the digital TV acquisition, was down $6 million in the fourth quarter. Eric will go into more details on that in a minute. Our goal in adopting these belt tightening actions was to cut back on as many variable costs as possible without impacting headcount. Unfortunately, the economic outlook has not improved. So in Q1 we will drive additional savings on variable costs, and we'll implement a headcount reduction of over 200 people or roughly 3% of our total headcount. All these reductions are spread all across business groups, we have not had to cut or deemphasize any of our product lines of business. In total, we believe that these belt tightening moves, along with the headcount reduction, will enable us to significantly lessen growth in our operating expenses in 2009. We will continue to keep a tight watch on our cash flow from operations, and we are ready to take additional measures, should we feel that our cash flow is at risk. Our goal is to keep cash flow from operations above $75 million per quarter throughout 2009. Let me now turn the call over to Eric to talk more about our fourth quarter and 2008 results, along with providing guidance for the first quarter.
Eric Brandt: Thanks, Scott. As Peter mentioned, please refer to the data breakout we introduced last quarter on the Investors section of our website for additional financial information that will supplement my financial commentary. We have included additional data to reconcile gross margin, operating expense and accounting changes in addition to the detailed breakouts we provided last quarter Moving to the financial overview, to summarize, revenue of $1.13 billion, including $40 million in royalty revenue from Verizon, was up approximately 10% from a year ago and down 13% from the prior quarter, which is above the upper-end of the range we provided at Analyst Day. Full year 2008 revenue was a record $4.66 billion growing 23% over last year. GAAP gross margin, including Verizon royalties, was 50.5%, down about 180 basis points from last year. The 180 basis point decline is approximately 30 basis points below the updated guidance range we provided at Analyst Day, with the principal difference being an additional E&O Reserve on the digital TV inventory we acquired from AMD that we were unaware of at the time of Analyst Day. Excluding approximately $200 million of asset impairment charges associated with our Mobile Platforms Group and in process R&D charge for the AMD digital TV acquisition, GAAP operating expenses of $532 million increased only $11 million over Q3 versus our guidance of $15 million. So you can see that we have clearly not taken our eyes off tightening operating expenses. I'll talk more about this in a minute. GAAP earnings per share for Q4 were negative $0.32. This number includes approximately $0.40 per share for the impairment and in process R&D charges, I just mentioned. Excluding the impairment and in process R&D charges associated with acquisitions, full year GAAP EPS roughly doubled in 2008. Cash flow from operations was $146 million. Our cash and marketable securities balance decreased $390 million to a balance of $1.9 billion at the end of the quarter resulted from solid operating cash flow offset by share repurchases and the AMD DTV acquisition which closed in the quarter. Moving to revenue and gross margins, in December, we said we expected Q4 revenue could be approximately $1.05 billion to $1.1 billion. As in the current global economic environment customers were requesting adjustments to the deliveries and we were seeing significant push outs and cancellations. What occurred in Q4 was an overall revenue decline, slightly less than the guidance provided, with revenue coming in above the high-end of our guidance range. With respect to our broadband communications target market, as anticipated, we saw a modest decline in revenue driven by broadband modems and seasonal declines in digital TV and Blu-ray offset by revenue increases in the set-top box area, principally driven by operators preparing for the analog TV cut-off. In the mobile and wireless market we experienced sequential declines in most areas driven by seasonality and by a weakening in the mobile and wireless end-markets. Our enterprise networking target market also declined sequentially during Q4, with greater weakness in the more PC related areas versus our switching solutions. Revenue distribution for Q4 was as follows. Broadband Communications was 39% of total revenue, Mobile and Wireless, which includes Verizon royalties, was 36%. Enterprise networking accounted for 25%. Our GAAP gross margin decreased by 180 basis points to 50.5%; which is somewhat below the range provided at our Analyst Day. In December, we guided GAAP gross margins to be down 125 to 150 basis points, which included 20 basis points for the AMD DTV inventory step-off/sell-through, but did not anticipate an incremental 50 basis points for AMD ENO related reserve. When looking at the core Broadcom gross margin, excluding AMD, it actually did somewhat better than anticipated. Verizon royalties represented a 180 basis point positive effect to the Q4 gross margin. Moving to operating expenses, during the quarter the company performed its annual goodwill impairment review at the operating unit level. As a result of the significant economic downturn and corresponding declining growth rates of the cellular market, as well as nearing the end of our royalty agreement with Verizon, it was determined that the goodwill and some of the tangible assets associated with our mobile platforms operating unit were impaired and thus written-off in the quarter. In addition, the company wrote-off approximately $31 million of the in-process R&D associated with AMD digital TV Acquisition. These two actions totaled $201 million in non-recurring charges for the quarter. Please note that you should not read into the fact that we took these charges, that there has been any change in the strategy or direction for either of these businesses. The following commentary on operating expenses is focused on recurring costs as such excludes these amounts. Once again, we had much better than expected performance in controlling our operating expenses. Total GAAP operating expenses in Q4 were up $11 million from Q3 levels, less than the increase of $15 million we expected at our Analyst Day. Standalone Broadcom operating expense, excluding the digital TV business and its associated amortization, was down $6 million from Q3 levels, due principally to two factors. One, our ongoing efforts to control the growth and headcount and other operating expenses, including a reduction in our bonus accrual of roughly $3 million due to market and performance changes in the quarter; and two, continued favorability and tape out expenses in Q4. However, these benefits were offset in part by unfavorable legal expenses associated with the currently pending options litigation. This expense is likely to continue to grow as we get closer to the trial date. What is encouraging is that our efforts over the last year to manage controllable operating expenses are clearly paying off, net of costs related to recently completed acquisitions and previously offset options litigations cost; we've made excellent progress since the second quarter of 2008. We increased total company headcount in Q4 by 549 to a worldwide headcount of 7,402, excluding the employees added with the digital TV acquisition; Broadcom had only about 20 net ads. Moving to the balance sheet, as I mentioned earlier, total cash and marketable securities were $1.9 billion, as we generated strong positive cash flow from operations of $146 million offset by approximately $565 million in share repurchases and acquisitions in the quarter. As we indicated at Analyst Day, we expected inventories to increase as we adjusted to the lower demand levels mid-quarter meaning that due to normal 8 to 12 lead times from our fabs there was too little time for us to make significant adjustments in the fourth quarter. We said we expect the turns to drop to roughly five times. Based on revenue coming and somewhat better than expected and strong work from our operations team, we were able to do a fair bit better and end the quarter at 6.1 turns. Assuming no further shocks to the industry, we anticipate turns will improve next quarter. Our accounts receivable Day Sales Outstanding was superb at 30 days, which is better than our normal mid-to-high 30s. As we mentioned at Analyst Day, we are active repurchasing shares in the quarter. We acquired roughly 27.4 million shares in the quarter at a cost of $424 million, for an average price of approximately $15.50 a share. Diluted shares outstanding were down another 26 million shares to 498 million diluted shares outstanding at the end of Q4, due to repurchase activity and the anti-dilutive affect of the GAAP loss. Finally, during the quarter the company repatriated $1.5 billion of its offshore cash. Moving to expectations, we currently expect Q1 revenue to decline to roughly $800 million to $875 million, including Verizon royalties, which given their payment to-date should drop to roughly $19 million. This decline should be relatively consistent across our targeted end-markets. Looking at what we expect to happen in Q1, in Broadband Communications we expect sequential revenue decline by decline in demand for broadband modems and set-top boxes, offset in part by growth in digital TV and Blu-ray. In Mobile and Wireless we anticipate a sequential decline, driven by lower consumer demand, reduced Verizon royalties, and normal Q1 seasonality. Our Enterprise Networking business should decline across the board due to normal seasonal weakness in controllers and our switching customers adjusting their demand levels downward due to the current economic downturn. We expect our GAAP gross margin to decline to roughly 49% driven by three principal factors. One, to reduce Verizon royalty revenue, which will have about a 75 basis point negative effect in Q1 versus Q4; two, fixed costs spread over a lower revenue base, which has roughly a 50 basis point impact; and negative product mixed shift of roughly 25 basis points. With respect to GAAP operating expenses in Q1, we have a number of step-up and other factors which impact the number. Please note that we have detailed all of these in the presentation on our website. First, we will have a full quarter of the acquired AMD digital TV business, plus the comparative impact of a non-recurring bonus reversal from Q4, which will add about $9 million. Second, an increased to our fringe expenses to match FICA, etc cetera, timing of approximately $9 million. This is only a timing difference and does not reflect increases for the total year on fringe expenses. Together these items add to approximately $18 million. Beyond that, we hope to offset additional tape-outs/development cost and additional legal fees with the cost savings measures Scott mentioned and the workforce reduction as well as anticipated D&O reimbursement. In addition, we expect stock-based compensation to decline roughly $6 million to $7 million. Net-net we anticipate total recurring operating expenses will grow approximately $9 to $14 million over Q4. Again, keeping in mind that almost all of this increase is either accounting driven timing changes, AMD full quarter impact, or items such as options litigation, which are unrelated to the operation of our business. We anticipate, excluding the full quarter impact of the DTV acquisition, the resumption of the standard bonus pool accrual and fringe items, you will see a decrease in our salary and benefits and stock-based compensation line that we will detail on our presentation on the website. Lastly, with respect to the cost reduction Scott mentioned. The Company expects to take a restructuring charge associated with the reductions in staff. We estimate the restructuring cost to be between $8 million and $10 million over the next three quarters. In closing, I would like to refine our comments on Analyst Day regarding managing the business to cash flow in a downturn. We said that in normal times we are managing to profitable growth and that in this downturn we are focused on expanding share at the expense of our weaker competitors. As we look back to 2008, we clearly grew share in our key target markets, growing more than twice the rate of the relevant sub segments as broken out by WSDS. As we look to 2009, based on recent commentary from a number of our competitors, we believe we are very well positioned to do so again, and are strategically better positioned cash flow wise to accelerate our technology advantage. As we mentioned in the Analyst Day, we are targeting to managing our business to share gain and positive quarterly cash flow from operations in 2009, and have aligned our incentives accordingly. Specifically, we built our plan, including cost saving targets, to target running the business above $75 million positive quarterly cash flow from operations. We believe this will allow us to leverage our cash strength to emerge from the downturn in a much stronger market position than we entered… And now I would like to turn the call back over to Scott, to talk about the state of the business.
Scott McGregor: Thanks, Eric. I will start with Broadcom's Enterprise Networking end-market. For 2008, we experienced solid revenue growth, driven mainly by market share gains within the switching space. While Broadcom has long been recognized as the leader within the switching end-market, we’ve been able to drive additional market share gains by expanding our product offering within two areas; the first is the metro switching space as the Ethernet penetrates deeper into this segment of the operator's network. And secondly, small and medium sized business, where we refreshed our product line, creating lower power solutions with more intelligence. As Eric mentioned, in the fourth quarter the Enterprise Networking end-market experienced a sequential revenue decline, as our customers adjusted their orders and inventory levels due to the economic slowdown, following a very strong first three quarters of 2008. While this revenue decline was across all areas of the Enterprise Networking end-market it was more pronounced in the controller area. We believe that there is more inventory in the PC and server areas of the market versus the switching area. As we look into 2009 and beyond, our investments will focus on driving 10-gigabit Ethernet deeper into servers, switches in the metro space and on entering the imbedded security and point-of-sale markets with the new family of security processor products. We are already seeing 10-gigabit Ethernet designed on to the motherboard for use in Blade servers from Hewlett- Packard, and we expect the 10-gigabit roll out to accelerate as Intel deploys its next generation Tylersburg for a chipset. We expect adoption of our 10-gigabit Ethernet switching to increase as 10-gigabit Ethernet is incorporated more pervasively on servers. From a competitive standpoint, our key differentiators remain our product breadth from five to switch, fabric solutions from metro data center enterprise and small and medium business applications, and our ability to integrate Ethernet technology into a wide variety of products ranging from game platforms, set-top boxes, broadband modems, wireless gateways, TVs, and Blu-ray players, and other products. Moving on to Broadband Communication, all major product lines experienced double-digit revenue growth in 2008, with the consumer in set-top box series experiencing the fastest growth. Broadcom is still a relatively new participant in the consumer space, which includes our digital TV and Blu-ray products. Within the consumer space, we were able to grow our revenue and gain share by leveraging the consumer preference for HD in both TVs and Blu-ray players. In addition our set-top box product demand was driven by a favorable trend in HD and PDR adoption and cable operators preparing for analog spectrum reclamation needed to expand their HD and wideband Internet access offerings. In the fourth quarter, our Broadband Modem and Consumer business were down sequentially tied to the weak economic environment, as our customers try to adjust their inventory levels to match declines in demand, and the seasonal increase for pre-holiday built cycle in Q3 for our Blu-ray business respectively. On the other hand, our set-top box business remained strong, growing over 20% sequentially, driven by the same trends discussed earlier. The two biggest opportunities for Broadcom going forward to drive growth and additional market share gains are; first, the continued expansion of pay-TV and internet access services internationally, mainly in India and Asia, and this includes our set-top boxes and broadband modems. Second, the conversions of communications with consumer electronics to drive ubiquitous Internet and device connectivity in the home to enable operators, studios and content providers to offer additional value-added services, such is the Netflix, instant streaming available on the LG BD-300 Blu-ray player. The example of our international expansion is the recent announcement by Bharti Airtel which is India's leading integrated service provider. Bharti selected Broadcom's set-top box products for use in its first commercial satellite product launch in India. According to In-Stat India's pay TV market potential is expected to include 90 million subscribers by 2012. We are engaged with other service operators in India and Asia to drive the adoption of broadband access in video services within those regions. For a number of years Broadcom has been on the technological forefront with regard to the convergence of communications with consumer electronics. Those of you who attended CES were able to see, these are not just early adopter gadgets, but these are mainstream products generating real revenue today. Broadcom not only provides products for platforms within the homes, such as TVs, set-top boxes and Blue-ray players, but also the connectivity to enable these devices to communicate together, whether its via Ethernet or MoCA, Bluetooth or Wireless LAN. Other key technologies and partnerships enabled by communications convergence include the integration of Adobe Flash into our TV and set-top box solutions, the integration of MoCA in the set-top boxes and broadband modems, and support for DLNA. We believe DLNA is the key standard, supporting transparent media exchange and control across consumer devices and utilizing Ethernet, MoCA and WiFi. Moving to our mobile and wireless end market, we once again experienced a very strong year of growth, as revenue increased 37%, driven primarily Bluetooth, Wireless LAN and GPS. When looking at our fourth quarter performance versus the third quarter the weakness was primarily from the PC and mobile markets. In the cellular area, our team remains focused on execution. We remain on track in achieving the various customer milestones required to ramp production later this year. We remain excited about what we have to offer in the baseband area in both the 2G and 3G spaces, but more importantly on the entire cellular platform. As our customers began shipping products incorporating our silicon, we look forward to talking more about them. Fortunately, the long overdue cellular baseband consolidation appears to be accelerating. A few of the older competitors in the cellular baseband market are shedding parts of their complete cellular businesses and others are experiencing intense financial pressure. These moves along with the consolidation of many of our European competitors validate our platform strategy, and we believe the economics for the cellular platform suppliers will improve overtime. Our focus right now is on bringing the Nokia Edge and Samsung 3G products to market. In wireless LAN, the weakness that we experienced in the quarter was mainly tied to the PC client side, as we experienced growth in both the imbedded and networking markets. I will talk more about our combo products in a minute, but I think it’s a good time to take a look back at what Broadcom has been able to accomplish in the wireless LAN market. Most market researchers point out that we’re the leader in wireless LAN space, having shipped over 350 million cumulative radios. Just to put this into perspective. This is over 75% more than our closest independent wireless LAN competitor. We led the transitions to 802.11g, led the transition to 802.11m, and we are leading the transition to integrating power amplifiers, leading the move down to low power 65-nanometer processes, and leading the wireless combo wave. Based on third party estimates, Broadcom’s wireless LAN business alone is larger than our closest independent peer's entire business, including their non wireless LAN products. Being first to market, having skill and a broad portfolio of products are significant long-term competitive advantages, which we believe will become even more important in this economic downturn. In Bluetooth our revenue declined in the fourth quarter mainly due to weaknesses within the cellular handset and PC end-markets. We are clearly number one in the Bluetooth market, having surpassed our closest peer in this market in Q1 2008, and have maintained that position throughout the year based upon their most recent guidance. We have shipped over 1.1 billion cumulative Bluetooth radios to-date. And in 2008 alone we grew our radio shipments by 60% over 2007. Broadcom is leading the migration to lower power 65-nanometer processes and leading in combos with value-added features, such as alternative MAC and PHY, which will enable Bluetooth transmission at up to 24 megabits per second. As we announced last quarter, our plan was to announce three new wireless combo solutions between then and Mobile World Congress. At our last earnings call we announced our next generation 65-nanometer Bluetooth plus FM Receive and Transmit chip that also integrates audio processing capabilities to improve the voice quality, perform stereo decoding and lower system power consumption. The second combo product was our Bluetooth plus FM plus Wireless LAN chip that integrates 802.11m and technologies. The final of the three announcements will be made at Mobile World Congress in February, so please stay tuned. Based upon our current outlook for 2009, we believe that our Wireless combo solutions in total can represent around 10% of Broadcom's total sales. This concludes our prepared remarks and we are now ready for your questions. Operator, may I have the first question.
Operator: Thank you. (Operator Instructions). Our first question comes from James Schneider of Goldman Sachs. Please go ahead.
James Schneider - Goldman Sachs: Good afternoon. Maybe first for Eric, could you talk a little bit about what you expect for the OpEx profile as we move throughout the year? Do you expect the step up to happen in Q1 and then come back down as we move throughout the year, excluding the legal cost, or how should we think about the profile of that? And do you anticipate any other minor trimming to OpEx beyond the one that you just announced?
Eric Brandt: Jim, we are actually seeing positive reactions to a number of the steps we’ve taken and seeing good signals that we saw in Q3 and Q4. I think the employees are responding well to the things that are variable costs and we should see some benefits going forward. Excluding the legal costs, excluding sort of this fringe benefit issue, as I mentioned in my text, I think you will see the salary and benefits line and some of the other costs begin to drift down over the course of Q1 and into Q2. Beyond that, we don't have much more guidance in terms of the OpEx. I think tape outs will be what tape outs will be, and as I mentioned, I believe, we’ll be able to offset them with some additional cost savings that we are expecting in the quarter.
James Schneider - Goldman Sachs: Okay. One for Scott, could you talk a little bit about, clearly it’s likely that we’re going to have a down revenue year across the industry and for you guys too. Can you talk about where you think you can get incremental positive revenue in what product areas is it going to come from share gains and what products?
Scott McGregor: Well, we certainly see the opportunity for share gains. The combo products are really on fire. We’re getting those designed into a very broad swath of many areas, and so we continue to see those to ramp up significantly. We think people are going to be pretty excited about this next product we’re announcing, too. We think that will help us drive share gain there. Bluetooth headsets remain an opportunity for share gain. We had a relatively low market share through 2008. We are now designed into pretty much all of the major players there and they are beginning to ramp and that will continue over the next few quarters. Share gain coming from a low base should help us in that space. In broadband, there is an opportunity with TV over the course of the year, and certainly Blu-Ray. I think customers are very interested in some of these connected TV and connected consumer products. The Netflix instant streaming looks like it's going to be a hit. And I think the follow-on products with those and other customers will be an interesting opportunity there. Of course, I think people will continue to transition from analog to digital, both because of the FCC mandated move to shutdown the analog transmission, but also because a lot of the cable operators are going to seek to reclaim a lot of their analog space and move to more digital channels to compete with satellite guys and some of the IPTV competitors in that space. So, we think those are very positive trends that will give us a good growth in those areas. Then, last but not least, certainly the 10-gigabit space will continue to grow over time, as people start penetrating. I mentioned the couple of examples, the Tylersburg chip rollout, we think it's going to give some impetus to that market and drive increased penetration there.
Peter Andrew: Martin, could we have the next question please?
Operator: Our next question comes from Randy Abrams of Credit Suisse. Please go ahead.
Randy Abrams - Credit Suisse: Yes, good afternoon. Could you talk about the impairment in the cellular platform, just what motivated the write-down? You talked about the strategy, it was unchanged, but, just you have a lower view of the expectations for that group?
Eric Brandt: So, Randy every year we do this. We run an impairment analysis across the various groups. And we adjust the view based on the market view of growth rate. In the case of the cellular business, the market growth rate, as you know, over the second half of the year came down. And as those growth rates came down, it changes the view of the internal value and changes the view of the discount rate. In addition, when you look at our other three core businesses of Broadband Communications, Wireless Connectivity, and Enterprise Networking they were substantially above the amount of goodwill carried; and, combined, actually added up to more than the market cap of the company. That is a signal then that you have to look more closely at the remaining business, which is in startup mode. And when you adjust the discount rates for the growth rate of the industry and the terminal values, you come to an impairment calculation, and that’s how we did it. It is very specific in terms of how it is done.
Scott McGregor: And it certainly doesn't reflect Broadcom's commitment to that space nor does it change our view of how that business will develop.
Operator: Our next question comes from Ross Seymore of Deutsche Bank. Please go ahead.
Ross Seymore - Deutsche Bank: Eric, just following up on the OpEx question, the 200 people headcount, how does that get reflected, is it this quarter or fully in the second quarter?
Eric Brandt: Actually of the $8 million to $10 million about half of it is cash; the other half of it relates to equity and other things like that, but most of the people impact will occur this quarter. There are some transitions that we need to do, projects from certain groups of people to other groups of people which will drag into the second quarter. Most of it will occur in the first quarter, a little bit will be in the second quarter, and to the extent that we have any lease restructurings, et cetera, that’s typically the only thing that will drag into the third quarter out.
Ross Seymore - Deutsche Bank: Okay. And then quickly on the inventory side, I guess a two-part question, did I hear you right when you said you could get your internal turns up in the next quarter despite where revenue is going? And then, what is your commentary on end-market inventory, whether it is in the channel or however you want to describe it?
Eric Brandt: Yes. We believe that we will be able to improve our turns in Q1 and are planning to do so. Obviously, it is somewhat revenue dependent, but I do think as we looked across Q4, we were able to align our view of demand in Q4 and rolling into Q1, which allowed us to adjust our order of parts. When you see our 10-K, you will be able to see where that inventory is. In terms of the channel inventory, I’ll preface what I’m going to say with what we usually say, which is, we are three steps back so how do we know, Right? But I want to make a general comment which is, if you look at most of our customers, they are reporting down high single-digits, mid to high single-digits, and if you look at what most of our peers are reporting, they are reporting down 20% plus. That would indicate that the underlying demand is probably closer to the high single-digits down, but the reason we’re seeing the significant decline in our space has been channel inventory impact. Our hope is that that will clear itself out over the next quarter. It's hard to say, because we don’t have that much visibility, but should that happen, then we will see our business begin to swing to something much more closer to the end-market demand that we are seeing in our customers principally.
Ross Seymore - Deutsche Bank: So you think in the second quarter you should be able to shift the consumption?
Eric Brandt: That's our hope. You know, it’s hard to say, because we don't know how quickly it’s draining and whether underlying demand will change further, but at least based on the patterns we’re seeing, that's our hope.
Ross Seymore - Deutsche Bank: All right. Thank you.
Operator: Our next question comes from Tim Luke of Barclays Capital. Please go ahead.
Tim Luke : Thanks so much. I was wondering, Scott, if you could just give us any color on how you perceive the linearity as you’ve gone through from November-December; and now, any color on how you see in the beginning of January in terms of order patterns? Then Eric, I was wondering if you could give us some color on how you see some of the puts and takes for the gross margin line and the shape of the gross margin as you move through calendar' 09, and particularly with respect to a mix that may favor 65-nanometer? Thank you.
 Barclays Capital: Thanks so much. I was wondering, Scott, if you could just give us any color on how you perceive the linearity as you’ve gone through from November-December; and now, any color on how you see in the beginning of January in terms of order patterns? Then Eric, I was wondering if you could give us some color on how you see some of the puts and takes for the gross margin line and the shape of the gross margin as you move through calendar' 09, and particularly with respect to a mix that may favor 65-nanometer? Thank you.
Scott McGregor: Well Tim, we can't really comment much on the linearity other than to say that our revenue for Q4 went down and we are guiding Q1 lower. Obviously, the orders are not coming in as fast as they were in the middle of last year. I think it's relatively similar across all of our industries that we touch, certainly the PC space. We do see a little more impact there than some of the other businesses, mobile also significantly affected, a little less so in switching, a little less so in some of the broadband areas, but again it’s a little hard, because some of these customers have to wrestle with their own inventory situation. That's how we see it.
Eric Brandt: Tim, with respect to gross margin, obviously Verizon, and it has been a 75 basis point impact and washes its way through. We do have this overhead issue as revenue comes down, and as I mentioned, it’s about 50 basis points in the current quarter. Actually, if you look across the two quarters from the high watermark of Q3, it’s actually close to a 100 basis points across the two quarters in terms of its impact to our gross margin. As revenue recovers, assuming that the inventory issue washes its way through and the industry begins to pick back up to more underlying demand and probably accelerates a little bit, because of to balance off the bottom on the inventory. Our hope is that we begin to cover some of that overhead and then you get the benefit there as well. As it relates to mix of products and 65-nanometer, I think over time, as we mentioned earlier in the year, we think we are heading closer and closer to the sweet spot of 65-nanometer and we should benefit from that. Now, obviously, it’s hard to read the overall mix of the products and what’s going to be the ins and outs, but that's what we look at. And hopefully, by the time we get through Q2, I think it will drag into Q2, we will have washed our way through the stepped up AMD inventory that we acquired, which hits us for probably 30 to 40 basis points in Q1.
Tim Luke : Just as framework, Scott, having been through a few downturns in the past, do you feel this is something that is likely to take sort of two to three quarters or do you feel that you are taking a step down now and then you may see slight ups in the following period? Any color there?
 Barclays Capital: Just as framework, Scott, having been through a few downturns in the past, do you feel this is something that is likely to take sort of two to three quarters or do you feel that you are taking a step down now and then you may see slight ups in the following period? Any color there?
Scott McGregor: Well, certainly we are not economists, and so I don’t think we are going to try and forecast world GDP here, which certainly affects a lot of our results. Certainly this downturn is more broad-based than 2001, so it is a little hard for us to extrapolate from those. I think, as Eric pointed out, there are a couple of things going on though. Whenever you have a sudden fall off in demand you get an inventory back up, and I think the semiconductor industry, as are many of the other people in the supply chain where we are, are facing is that you are not only burning up inventory, but also dealing with lower demand. The inventory stuff will burn off at some point, and certainly as Eric said, we expect our turns to actually go up this quarter, which shows that we did a good job shutting down our orders back in Q4, and we believe we will make good progress on that. From our inventory point of view, I think we will be in fine shape going forward Q1, Q2. Then the question really becomes, where will our customers be in terms of burning off their inventories, both which they have themselves, and in their channels, such that we can get back to the, I will call it, the new normal demand, and back to probably where we were in the middle of last year, but certainly should be more than the combined inventory burn off and lower demand we are seeing right now.
Tim Luke : Thanks so much.
 Barclays Capital: Thanks so much.
Operator: And our next question comes from Adam Benjamin of Jefferies. Please go ahead.
Adam Benjamin - Jefferies: Thanks, guys. First question just on the combo market, you guys are doing quite well there and positioned compared to your competitors, one thing as you look out going forward, you've had a bunch of single product lines, Bluetooth and WiFi that are now coming together as well as GPS. I wonder how you think about that going forward and when you ramp the combo how that nets against to those single line of products going forward, and what we should expect in terms of what the net add there for you?
Scott McGregor: We think combo products are definitely here to stay, and that the trend is going to increasing conversions of functionalities. So that's a real advantage for Broadcom, because unlike pretty much any of our competitors, we have all the pieces of the puzzles, and so, as we produce these combined solutions for our customers, then we will definitely pull those together. I think the question you are trying to get at is, to what extent do the combo products cannibalize some of our single product lines? We don't see that much, because let me give you an example with our 4325 products, which combines wireless LAN, Bluetooth and FM, we see that as more an increase in the penetration of wireless LAN into products that didn't have wireless LAN previously. So in other words, we are getting a higher ASP penetration into to the same kind of product as a result of that. Likewise, when we did Bluetooth plus FM, the addition of the FM allowed us to offset price erosion or even increase ASPs in that space. So we see it as a positive contributor. It drives the average price of some of these functions down for people. For example, in the cellular space the cost of adding wireless LAN was slowing the penetration down, they only put it in the high-end smart phones, because of the 4325 driving the overall affordability of wireless LAN, we are seeing much higher take up of wireless LAN, such that it drives it down not just from the top-end phones, but in the high end feature phones as well, greatly increasing the overall demand. So, net, we see the combo products being a positive trend in our revenues.
Adam Benjamin - Jefferies: Got you. I'm sorry if I am being redundant here. I got dropped off the call. With respect to inventories that you were talking about, Scott, imbedded in your guidance of the 800 to 875, how much of that is an imbalance of work down of inventory versus true consumption in the market? Then secondly, based on the guidance, what is the turns rate that you need to meet at the mid-point of the guidance versus prior quarters?
Scott McGregor: We don't know what the inventory burn down in our customers is. We don't have that visibility, so our guidance is independent of knowing what that is.
Adam Benjamin - Jefferies: I'm just looking for you to take a stab at it.
Scott McGregor: I don't have a clue. And then, let us see, your second question was?
Eric Brandt: On the turns, no different than what we have seen before, in fact in light of the limited visibility, we are still doing what we've said before, which is 80% to 90% of the bulk coming into the quarter. We are not changing our view on turns. In fact, if anything we might have been a little bit more conservative in our view of turns, just because of the concern that our customers may push things out towards the end of the quarter. Our guidance reflects I think, perhaps, a touch more conservatism than we have had in the past, because as you'll recall, we beat this quarter and you might say, well, gee, you are in December, why did you do that? We didn't want to be one of those companies that revise guidance more than once.
Operator: Our next question comes from Shawn Webster of JPMorgan. Please go ahead.
Shawn Webster - JPMorgan: For the revenue upsize relative to your revised expectations in Q4, where did that come from?
Eric Brandt: Shawn, as I mentioned, we were trying to be conservative. As you may recall things were a little bit hairy sort of rolling into December and certainly in November, and so, when we revised guidance we wanted to make sure that we were not revising twice. We tried to be conservative in our view and anticipate additional push outs which could occur at the end of the year. Unfortunately for us, they didn't come in, and we did better than we had anticipated. Specifically, in individual businesses, I don't think its material to the results. I think you can see the results where the Mobile and Wireless Group and the Enterprise Networking Group were down roughly the same amount and Broadband was down a fair bit less. So beyond that, it was really just sort of us being conservative in our view of revenue. Perhaps, to Adam's question a little more conservative than our view of turns.
Operator: Our next question comes from Quinn Bolton of Needham and Company. Please go ahead.
Quinn Bolton - Needham & Company: I was just wondering, some of the other semiconductor companies that have reported to-date have mentioned that they have seen some uptick in orders in January, wondering if you could make any comments about whether on a qualitative basis you have seen any improvement? I know it's only a few weeks here, but just curious. Then second, coming on to set-top box, I think you had commented, it was up 20% sequentially in the fourth quarter, but then expected to be down in Q1. Is that just lumpy nature of the business or do you see some inventory, or is there something else going on in set-tops? Just looking for a little color on that segment?
Scott McGregor: Certainly the set-top business does have some variability to it, but I think, it reflected against the increasing penetration of broadband, the move from analog to digital. One of the things I think particularly drove it is, people really liked this HD capability and they like getting the PDR capability on set-top boxes and that certainly drives that growth there. So, we just see that as continued adoption of a lot of products and then the Q1 decline more of a moving down as a result of just overall economic issues.
Operator: And our next question comes from John Dryden of Charter Equity. Please go ahead.
John Dryden - Charter Equity: Thanks for taking my question. Scott, now that Verizon royalty is coming to an end, can you discuss new business opportunities at this customer, which is one of the benefits of the royalty discussions back in late 2007?
Scott McGregor: Well, I can't discuss, obviously, all the things we are working on with Verizon, that's private information for them, but for example, we cooperate very well on the FiOS rollout that they are doing. Broadcom participates in that. We generally had a great relationship with Verizon since we put that deal together. It has enabled us to have a lot of good conversations between their product planners and strategists and their CTO organization and our product team. So we are absolutely working together to do a variety of things to broaden our set-top box cooperation and to look for cooperation in the mobile area and other places areas as well.
Operator: Our next question comes from Tristan Gerra of Robert Baird. Please go ahead.
Tristan Gerra - Robert W. Baird: Good afternoon. Given the excess inventories, do you see any deterioration in ASP trend over the next few quarters and what's your sense is about how this could impact gross margin potentially?
Scott McGregor: You mean of our inventory or channel inventory?
Tristan Gerra - Robert W. Baird: Well, actually component inventory, so it could be people trying to unload inventories and putting pricing pressures outside of your own inventories?
Eric Brandt: Not really for us. Again, we try to be conservative in what we do and hopefully by now people have sort of picked that up, generally speaking, in terms of the way we think about our business. We have been talking about for a year, about making sure that we ship to underlying demand. So to the extent that people are playing games at the end of the quarter in terms of inventory and trying to flush through things at cheap prices, short of excess inventory we have, which, not very much we would do that with, we don't really play that game. If they want to push out and it's true underlying demand, we let them do it. And that’s sort of the way we run our business, we try to run our business to natural demand. So, I think we’re pretty good at sort of not playing that game in terms of driving the gross margin down to chase that sort of stuff.
Operator: Our next question comes from David Wong of Wachovia. Please go ahead.
David Wong - Wachovia: Thanks very much. Can you tell us what your top priority for your R&D dollars spend will be in the current environment?
Scott McGregor: Well, certainly we are looking for opportunities for revenue projects that are going to happen in 2009. That's certainly a priority and in fact, in some areas such as our combo chips, our primary limitation on how much revenue we get and how many design wins we get is more limited on how many customers we can support, rather than underlying demand. That’s incredibly popular series of products right now. We have more design wins that are being offered to us than we can support. So that’s a very nice situation to be in, and obviously, that’s an area where you want to maintain your R&D emphasis to help those customers get those products designed in. Certainly, the 10-gigabit space in our Enterprise Networking area and next generation 10-gigabit controllers are important for us to go take share in those markets. Just broadband overall, there are some very exciting stuff going on there. It is the whole notion of connected living room. All of that is something lots of companies are talking about, but we are deploying products in that today and a lot of customers who want to actually ship products rather than talk about them are working with Broadcom chips. So those are all high priorities. Then, of course, I don’t want to leave off the cellular area. We are making great strides with our partners Samsung and Nokia. And as we said, we are on track for rolling products out with both of those companies this year and important to stay on track with that.
Operator: Our next question comes from Uche Orji of UBS. Please go ahead.
Uche Orji - UBS: Just a couple of things, first is, of the $1.5 billion of repatriation, any idea how that would be used? Then secondly, can you talk about what the expectations are as the new government starts to talk about spending on broadband infrastructure. Is there any expectation on your side as to how you are positioned to profit from that?
Eric Brandt: So, Uche just on the $1.5 billion, I think that we were in a fortunate situation as a company that the economic market became uncertain. I think people are worried about where the money is and where the banks are, et cetera. Carrying close to $5 billion of NOL has enabled us to repatriate the money at minimal cost, cash cost to the company. We took the opportunity to bring the money back, because to protect the company, protect the company's cash position and be prepared for what is probably going to be a bumpy 2009 for everybody in the industry. As far as using that cash, as we have discussed in the past, I think we look for opportunities to enhance our competitive position with companies to use our cash, to take advantage of low valuations should there be opportunities to buy a company. And we do have an ongoing share repurchase program which we could use the money for as well. But it really was a unique opportunity for Broadcom, given our tax position and where we had our money, to really put more security around the company and make sure that we had our cash where we needed it most in the US.
Scott McGregor: Turning to your question on broadband infrastructure, it certainly has been an announced priority by the current administration in the United States to increase broadband infrastructure. We have also seen that in other countries as well, they all view that as a way that they can spend money and improve their population access to the internet economy and whatnot. And that plays actually fairly well for Broadcom. So the good news is that pretty much any box that they deploy, to enhance the broadband infrastructure is going to have Broadcom chips in it. So that's good for us. I would say the problem of those is we don't have real good visibility on exactly what some of these programs mean yet. So we think, they are all well intentioned and to the extent, they do result in deploying broadband infrastructure, Broadcom will certainly be one of the beneficiaries of that.
Operator: Our next question comes from Sumit Dhanda of Merrill Lynch. Please go ahead.
Sumit Dhanda - Merrill Lynch: Yes, hi guys. Scott, you mentioned in your prepared remarks that you thought that the combo chips could be as much as 10% of revenue this year? You know, with the rough math, at least my back of the envelope, suggests something close to maybe 10% penetration of the top OEMs just to get to that numbers. Is that right, is that too high a number? Really what gives you the visibility? Is it just the pace of design wins that you are seeing even in an uncertain environment?
Scott McGregor: I'm not sure I can figure out your penetration number, but, certainly we have seen broad wins there. I think, we have won the majority of the top 10 cellular platforms with our combo chips now. We have certainly seen penetration into a variety of other kinds of devices, other portable devices, things like games and some computing devices. We are seeing very good penetration with those products. Again, they just really solve a nice solution. They really give the customer the ability to put a single product into their product that pre-integrates all the radios. It solves all the coexistence problems. And what I like to call the one butt to kick principal, meaning, when they design these products, and if they have multiple radios from multiple suppliers, invariably you are going to have issues. And rather than dealing with finger pointing across different suppliers, you put this card in, and there is one supplier that will make it all work for you and they appreciate that.
Operator: Our next question comes from Daniel Amir of Lazard Capital Markets. Please go ahead.
Daniel Amir - Lazard Capital Markets: Thanks a lot. Related to your broadband consumer markets, I guess, you commented that the DTV, business and Blu-ray should be better here in the first quarter. Can you comment what's exactly going on there in terms of seasonal? Also what's your visibility about some of the different end markets right now in terms of the demand drivers in your business?
Scott McGregor: On visibility, certainly visibility is lower than what it would be in typical years, so, that does color things a little bit, but, specifically your questions about things like DTV and Blu-ray, generally, those products seasonally peak around Q3. Some products would seasonally peak around Q4, but the heavier they are the more likely they go by truck or rail or boat, rather than by airplane, and so, they have to be built early in the year to hit the holiday shipments. Generally you see peaks around Q3. Q4 generally tends to be a fall-off, and certainly with some demand going down, there are some inventory issues there as well. Then we see that beginning to pick up a little bit over the course of this year, both for natural or seasonal characteristics in the industry. Also, we've got some really great product offerings. We've introduced a number of new products in this space, and we've won some designs there. We are ramping with new customers. A good example of that if you were at CES and you saw the new VIZIO connected TV platform, a great example of really great products and really leveraging the capabilities of the products that we offer.
Operator: And our next question comes from Rubin Roy of Pacific Crest Securities. Please go ahead.
Rubin Roy - Pacific Crest Securities: Hi, thanks. Scott, just to just finish off on that connected TV comment. Is the content in those TVs different from traditional TVs, i.e. do you have more silicon power content in connected TVs like the VIZIO?
Scott McGregor: We have some. We certainly see some benefit, because we've added things like Internet, Ethernet capability into those boxes, and also some stronger video capability. We've upgraded some of the CPUs a little bit. We believe that you need I will say 300 or 400 megahertz in single and dual core CPUs to do capability like that. There is one competitor who is making a lot of noise about how you have these very high powered expensive chips in there. We can't quite understand that, because we think you can do all of this stuff, like Adobe Flash, all of this widgets and other things on very economically priced solutions, and so, a little surprised by that. We do see some improvement in our ASPs in the Internet connected TVs.
Operator: Our next question comes from Craig Berger of FBR Capital Markets. Please go ahead.
Craig Berger : Hey guys, thanks for squeezing me. Can you just help us understand without getting into too much specifics, how big is your cellular business right now and based on what you see with design wins and platform visibility what that might be able to grow to exiting the year?
 FBR Capital Markets: Hey guys, thanks for squeezing me. Can you just help us understand without getting into too much specifics, how big is your cellular business right now and based on what you see with design wins and platform visibility what that might be able to grow to exiting the year?
Scott McGregor: Well, we used to forecast that kind of stuff. And we sort of got burned doing that. So, I’m going to decline to state that. We’ll certainly talk about the business more as some of these major products begin to rollout. As we rollout with Nokia, for example we will give a little more color on that business.
Craig Berger : Can you tell us how big it is right now?
 FBR Capital Markets: Can you tell us how big it is right now?
Scott McGregor: No, we have a low single-digit market share in the market right now, so it’s not particularly large. Although, the number of phones we have is growing. We are shipping more 3G phones with Samsung and expect more to rollout. And then, as certainly some of the other designs we are working on, and as Nokia begins to rollout, we would expect that to move up significantly.
Operator: And our next question comes from Aalok Shah of D.A. Davidson. Please go ahead.
Aalok Shah : Hey, Eric, two questions for you. I saw you repatriated about a $1.5 billion, how much more cash is left overseas and is there any tax consequence associated with that?
 D.A. Davidson: Hey, Eric, two questions for you. I saw you repatriated about a $1.5 billion, how much more cash is left overseas and is there any tax consequence associated with that?
Eric Brandt: We repatriated most of the cash, so there is a couple of $100 million left overseas. The principle tax consequences is the burning of NOL, so it burns about $1.5 billion worth of NOL, a little less than that actually. Then the cash tax implications on that are minimal, and that’s the result of having the NOLs and being able to bring the cash back at limited cash tax. Was there a second part of your question?
Aalok Shah : You said you consider to ship to Nokia in 2009, is that still on track?
 D.A. Davidson: You said you consider to ship to Nokia in 2009, is that still on track?
Scott McGregor: We have said that we would rollout with Nokia in 2009 and yes, that’s on track.
Aalok Shah : Okay. Great. Thank you.
 D.A. Davidson & Co: Okay. Great. Thank you.
Operator: Our next question comes from Dan Morris of Oppenheimer. Please go ahead.
Dan Morris - Oppenheimer: Yes, just quick question on the AMD DTV acquisition. Can you just give us an update on the accretion target for that acquisition and how much of it would be dilutive in Q1?
Eric Brandt: What we said was that our goal was to have it to be EPS neutral by the end of next year or end of this year, kind of 2009. I just keep forgetting we’re in 2009. And then if you look at the numbers we’ve given you in terms of the impact of that business you can see that that business runs in the vicinity of I don’t know, we said that we would we’re up 11 which meant our core business was down six. So you have got 15 for two months. So, you consider, figure out you’re close to $20 million run rate on that business in terms of on a quarterly basis. That gives you a picture on the expense side. We haven't broken out the revenue in terms of what we thought it was going to be. We said that we shipped, I believe, between $5 million and $6 million in the one month we had the business. Obviously, that was a bit of a slowdown month, assuming that the two months we had the business, but that gives you sort of a picture of where it is and then you would have to net out the step up affect.
Operator: Our next question comes from Steve Smigie of Raymond James. Please go ahead.
Steve Smigie - Raymond James: Great. Thanks. Quick question, you mentioned the integration of the power amplifiers. My understanding was a year or so ago there was some technical struggles with getting everything to work perfectly on that, I was just curious, if you could talk about your confidence and how that's working now and also what sort of customer interest you have seen in that? Thanks.
Scott McGregor: When we first showed the product we actually didn't tell people there were power amplifiers integrated in the product. So we kept that stealthy, because we wanted to run long-term studies and make sure it was all stable and so forth. But that all turned out quite well. And so in our wireless LAN and wireless LAN combo products we do include the power amplifiers. So that's all working great and our customers use it. It saves them separate discrete parts on the board, pre-integrates it, and generally is a very good solution. We don't see our competitors doing that generally.
Operator: Our next question comes from Suji De Silva of Kaufman Brothers.
Suji De Silva - Kaufman Brothers: Hi, guys two quick questions. First of all, you talked about the combo products being 10% by year-end, what going to be the shape of that ramp up will be, it will be back end loaded? And the second question is on the handset side cellular is your R&D spend there stable or do you continue to increase that? Thanks.
Scott McGregor: The R&D spend on cellular is stable right now and we believe we have the team we need to ramp the products with our key customers, and so, we expect that to stay stable roughly over the course of the year. Certainly as we were to bring on new customers or substantially new programs with existing customers, we might have to ramp for some support, but generally we'll hold that resource steady until we start seeing some return from the investment. In terms of the ramp of the combo products I will give you one example we expect over the course of this year to ship more combo products on FM and Bluetooth than Bluetooth stand alone. So that's already crossing over. Then in the 4325 space wireless LAN, that will take a little while, but that will ramp significantly over the course of the year.
Operator: And our last question from Betsy Van Hees of Caris & Company. Please go ahead.
Betsy Van Hees - Caris & Company: Thanks for fitting me in. You mentioned in the past, at your Analyst Day and then at some conferences, about taking opportunities with your cash and making some strategic acquisitions. I was wondering, if you can give us a little bit of color around that, if you still have plans to do that this year? Thanks.
Eric Brandt: We are always looking for additional technology to expand our business, to expand the technology, to expand our market share. I don't think the criteria we've used has changed. I think we are very interested in buying a business which brings a Broadcom type of team, which brings great technology, et cetera. I think what's unique now is that, those opportunities may, in fact, be somewhat more accretive than they have been in the past because of the value on cash. So to give you a sense, I mean a year ago in Q4, we generated interest income probably 4X of what we are generating now. Now, we do have about 20% less cash than we had then, but fundamentally, it’s not generating that much interest. So, what we really should be thinking about are ways to expand our business using our cash, in ways that are both accretive to the technology, to revenue and the bottom-line of the business and so I don't think what we do is different but I do think that the opportunities that are in front of us, maybe different. And I think having the cash here in the US increases our flexibility to do things quickly if we want to.
Scott McGregor: Thank you, Eric. I would like to thank everyone for joining us on the call this afternoon. And before we finally conclude, I would like to reiterate a couple of points. One is that, 2008 was a very strong year from a revenue and market share perspective. We reached new record revenue levels for the year and we dramatically out grew the semiconductor market. We more than doubled the EPS, excluding the one time charges, and generated about $920 million in cash flow from operations. As we look into 2009, the economy is certainly having a negative impact on our results and we are reacting to that changing environment by shifting our focus from profitable growth to protecting cash flow, while we invest in the product areas we think are going to gain share. We believe we are well positioned in this economic downturn, with really great integrated products, and a scalable business model. As a result, we see this economy slowdown as a longer term opportunity to emerge in an even stronger position at the end of this down cycle. With that, thank you and good afternoon.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.